Operator: Good day and welcome to the Fathom Holdings Fourth Quarter and Year End 2021 earnings conference call. [Operator instructions] Please also note that today's event is being recorded. I'd now like to turn the conference over to Roger Pondel with PondelWilkinson. Please go ahead sir.
Roger Pondel: Thank you very operator and welcome, everyone, to Fathom Holdings 2021 fourth quarter and year-end conference call. I'm Roger Pondel with Pondelwilkinson, Fathom's investor relations firm. This is my pleasure shortly to introduce the company's Founder and Chief Executive Officer, Josh Harley; and Fathom's President and Chief Financial Officer, Marco Fregenal. Before I turn things over to Josh, I want to remind all listeners that today's call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are subject to numerous conditions, many of which are beyond the company's control, including those set forth in the Risk Factors section of the company’s IPO registration statement, its latest Form 10-K and other company filings made with the SEC, copies of which are available on the SEC's website at www.sec.gov. As a result of those forward-looking statements, actual results could differ materially. Fathom undertakes no obligation to update any forward-looking statements after today's call, except as required by law. But please also note that during today's call, we will be discussing adjusted EBITDA, which is a non-GAAP financial measure as defined by SEC Regulation G. A reconciliation of this non-GAAP financial measure to the most directly comparable GAAP measure is included in today's press release, which is now posted on Fathom's website. And with that, it's my pleasure to turn the things over to Josh Harley. Josh?
Josh Harley: Thank you, Roger. And of course thank you to everyone who's on today's call. Our entire team really appreciates your support and your faith in us. Before we review the significant progress Fathom has made since our last call. I want to thank our agents and employees for their ongoing hard work, not just toward our vision, but also helping us grow while generating value for all of our stakeholders. I also want to say thank you to our Fathom family, for their unwavering dedication, to creating a culture built on service and more specifically serving and placing others first. I cannot begin to express how important that is and the role it's played in our success. One of the things I love is when I hear our agents say that they join Fathom for the commission, but they stay for the culture. That fact plays a significant role in why we have one of the lowest agent attrition rates among residential real estate brokerages. And if you want a true representation of whether Fathom agents are happy, our low agent attrition rate is the best indicator. I'm extremely proud that our average monthly attrition rate across all of 2021 is only 1.5%, half of the industry average. The quarter-after-quarter and year-after-year, our results continue to demonstrate the power of our truly disruptive business model. And I'm proud to be here sharing our significant growth. We are winning through innovation and by delivering real long-term value to our agents, employees, clients, and of course our shareholders. For the fourth quarter year-over-year, revenue grew by 79%. Our agent count grew by over 48% and our transactions grew by over 43%. Importantly for the third quarter in a row, our real estate business was adjusted EBITDA profitable. I don't believe that any other publicly traded residential real estate brokerage can make that claim, not even at 30,000 transactions per quarter. While we're continuing to invest capital to enhance our foundation for the sustained long-term growth of our new business lines. Those investment dollars are quickly becoming a smaller percentage of our ongoing expenses. We believe that Fathom is on track to continue our strong revenue, agent and transaction growth. And with the strategic and thoughtful investments we're making in each of our business lines, we look forward to also demonstrating strong, solid profitability in the near future. There are still some who do not fully understand who we are yet, but with time, I believe that more investors will come to understand our business and value us accordingly. If you really dig into our story, you'll realize that not only has Fathom generated impressive performance every year for over a decade, we still have an extraordinary runway ahead of us. A lot of companies sacrifice profitability for growth, but I'm proud to say that we do not have to operate that way. We believe that we can achieve strong profits over time while continuing to grow our business at high rates. Our cash position is strong and we plan to continue to focus on achieving the positive operational cash flow. Marco, our President and CFO does a great job pressing the proverbial no button, keeping our spending in check as we march toward profitability. Our steadfast discipline allows us to be good stewards of the money with which you've entrusted us. We believe that Fathom is on track to continue our impressive growth rate for the foreseeable future while also achieving profitability quickly. And we look forward to proving it. The question is, how do we get there? Since going public we've substantially increased our revenue, continued the expansion of our agent network, maintained strong agent retention, entered new geographic markets and completed strategic acquisitions designed to further solidify our market position. That's a lot to accomplish in less than a year and a half, but it demonstrates our focus, our commitment and our ability to get things done. With the addition of our own in-house mortgage title and insurance companies, along with additional SaaS offerings, we now have the potential to dramatically increase our revenue and importantly, our profitability per transaction. I want to reiterate that these companies are not joint ventures. We fully own them. That means that we're not giving up any of the revenue and profitability generated by these businesses and it means that we've got greater control to set a high bar for our quality of service. That matters a lot. It matters to our clients. It matters to our agents and it should matter to you because that's how we believe that we can achieve a greater tax rate for these growing businesses. As I mentioned earlier, we grow agent count by over 48% year-over-year. We believe that a big part of that is because Fathom continues to have one of the most attractive agent commission plans and one of the most complete offerings in the industry. When it comes to providing the greatest value to agents, we believe that Fathom wins hands down. Our focus is not just on adding more agents, but also helping those agents become more productive, close more sales and ultimately earn more money. We believe that we are accomplishing that by providing more training and more technology to help our agents get in front of more buyers and sellers. As well, we're helping agents reduce the amount of time required to manage the transaction process, giving them even more time to network and sell. To prove that point, based on our internal data agents who joined Fathom increased their sales by an average of nearly 49% after four years. In fact, many of our agents report doubling their sales after the first year with Fathom. In addition, as we grow our agent base and familiarize our agents with our newly acquired brands, we are inherently growing our referral opportunities, not just for our realty business, but for all brands. One of the beautiful things about our incredible agent growth is that our cost to acquire one agent during the period remained at approx $985, making our breakeven on each agent, less than the $1,100 we earn on their first sale. I also want to point out that the average lifetime value of an agent is currently over $21,000 on just the real estate side of the business. The ratio that lifetime value to our cost of agent acquisition is over 21x. And that does not take into account the revenue we're generating from our mortgage title insurance companies or potential revenue from the lead that we can generate from our agents. Fathom is in a unique position to potentially grow even faster at a time when a real estate market is turbulent. I truly believe Fathom could benefit from a down housing market and that we have the potential to accelerate our growth in 2021, turning a headwind for most real estate companies into a tailwind for us. More over Fathom could prove to be a hedge against other real estate brokerages whose revenue, transactions and agent count could suffer from these headwinds. I want to spend just a minute on this point, because I think it's very important. While most analysts do not predict the housing bubble. They do believe that the industry could see fewer homes sold in 2022 as compared with 2021 due to rising home prices, rising interest rates and a shortage of inventory. While this is not good for the majority of real estate companies, Fathom offers real estate agents who joined Fathom from other brokerages, the ability to net more income than they did in 2021, even if they sell fewer homes. And that's important. That could result in more agents joining Fathom, if they begin to feel the squeeze. In other words, Fathom could further accelerate our growth while other brokerages struggle. There are only two ways for rules to agent to ultimately net more income, right? Increase their revenue by closing more sales, which is hard to do in a down market or decrease their expenses. We believe that we can help agents do both. The vast majority of real estate agents, the largest expense is not their marketing it's the splits they pay their brokerage with many paying over $30,000 per year. In real estate there's an adage that suggests that splits only matter in the absence of value. However, what if all things were equal, with Fathom an agent can get all of the technology, training resources and support they're used to getting at one of the legacy brands, yet save an average of $12,000 or more per year in commission splits, paid to the brokerage. In essence, an agent could close 20% fewer home and yet earn more income than they did the year before with a potential market shift looming Fathom could be highly attractive to agents. Fathom could also see greater market share per agent over time as our agents increase their total income on each sale. With more income per sale, Fathom agents have more money available to invest in marketing, growing their businesses. When agents with legacy brands are struggling to earn a real living due to fewer sales and lower income that may create a need to pull back on their marketing spend in order to pay their bills. Fathom agents could potentially invest more in their marketing than their peers, helping increase their market share and Fathom's market share overall. In fact, we're already seeing some of that benefit through our career site, which saw a 181% increase in unique visitors in 2021 compared with 2020. We believe that is a strong indicator of future growth. Now going back to shifting markets, it's important to note that if home prices fall, many of our competitors may see a strain on their profitability because they take a percentage split on every transaction, but that would not be the case for Fathom. We earn the same transaction fee from the agent, regardless of whether the agent earns a $10,000 commission or an $8,000 commission. We believe this should allow us to continue to capture market share from real estate companies with old traditional commission models. As our agent base grows, those agents generally bring more transactions with them. And as we add more transactions, we have more opportunities to capture mortgage title and insurance revenue. Fathom’s ability to attract an ever increasing number of real estate agents by providing them with greater income potential, along with technology, training and support, they need to grow their business is even more evident today, especially during these unprecedented and changing times. Now, as I mentioned earlier, our results for Q4 and all of 2021 were outstanding. Clearly Fathom moving in a very positive direction, attracting higher prison agents and selling more homes and higher priced markets, which could significantly benefit our mortgage title insurance companies and as well as the leads business that we’re building. Fathom Realty recently grew its geographic reach with the addition of New Hampshire and Montana. And as I’m sure you saw from recent press release, we also expanded our Utah presence through the acquisition iPro Realty is 435 agents. We’re now licensed in 36 states and D.C. with plans to open several more markets in the coming months. Ultimately, our long-term plans are expanding to all 50 states and eventually Canada. Now, one more thing I should point out is the announcement we made in December about raising our fees for Fathom agents, which took effect in January of this year. The annual fee for agents was raised 20% from $500 to $600 per year. And the transaction fees were raised 11% from $450 to $500 for the first 12 completed transactions. We’re happy to report that these increases did not negatively affect our agent retention or growth rate since implementing this change. Most likely because our average agent are still saving around $12,000 or more as compared to traditional brands. Now, I want to talk about our intelliAgent next and the advantage that our platform creates. The obvious advantage bring that it allows Fathom to reduce costs per agent over time while improving operational efficiencies. Our technology platform allows us to significantly reduce our reliance on third-party technology providers. In fact, as of this month, we’re officially using all Fathom built technology for our Realty operation, which includes agent and brokerage websites, CRM, transaction management, personal management, and more. Outside of finance reporting systems and social media products there isn’t much else that we’re using outside of intelliAgent for our Realty business. intelliAgent gives us the power to control the full lifecycle of the home buyer and seller gaining a greater understanding of our data and how to use it to further improve our offerings while ultimately generating leads for our agents. Plus, we can now identify potential clients for our mortgage, insurance and talent companies long before they’re under contract, as they raise their hands requesting more information. Our SaaS company, LiveBy, is also making some incredible headway with a recent launch of LiveBy Local. We now provide tech and or data to more than 750 companies across the country with over a 100,000 agents touching our product. Our mortgage operation in Encompass Lending is currently licensed in across 41 states in D.C. We made significant investments, our mortgage operation, and are already seeing a very positive return on that investment in the form of improved tax rate in market share. As you saw, we recently announced the acquisition of Cornerstone First Financial out of Washington, D.C. market. Cornerstone brought a unique marketing approach to Encompass Lending, which we planned to roll out across the country and each of the markets where Encompass has a foothold. Our title company, Verus Title, is growing exceptionally as well. And I could not be more proud of our team’s effort. Verus is licensed now in 29 states. And we’re seeing impressive improvements in our tax rate every single month. In fact, our Q4 title revenue alone was as high as what they generated by – what was generated by Verus in all of 2020 prior to the acquisition. Industrywide, online notarization was up 547% in 2022, sorry 2020, and while 2021 numbers for this online trend are not out yet. The industry is seeing that trend continue. It’s important to note that this trend benefits our title model as more agents accept this new virtual or remote norm. Our insurance company, Dagley Insurance, is currently licensed in 47 states in D.C, and we're gaining traction with Fathom agents every single month. One important statistic to note is that over 43% of the insurance quotes we sent out in 2021 were converted into policies. We believe that over time, our insurance operation could help us improve our revenue profitability during the seasonally slower winter months and help us through the cyclical nature of the real estate industry. Total personal lines grew by over 17.5% in the fourth quarter year-over-year. In total premiums grew by over 16%, but keep in mind, we did not acquire Dagley Insurance until April of 2021. So we feel very good about our progress so far. As you know, our mortgage title and insurance operations, we’re all added through strategic acquisitions. And we’re working diligently to integrate each business fully to ensure strong attach rates. We also made several strategic real estate brokerage acquisitions in a very short time period. We expect that any future acquisitions we consider will primarily be focused around opening new real estate markets or expanding our footprint in smaller markets current markets to hit critical mass faster. Each acquisition we pursue is expected to be immediately accretive to our business as we continue on our path of profitability. We intend to continue growing quickly and while acquisitions are not our primary growth strategy, we will use acquisitions strategically as opportunities arise. Now, final points and I’ll turn it over Marco. Over the last three quarters, our real estate business was adjusted EBITDA positive, which we believe demonstrates that we’re on the right path. We have strategically built an end-to-end integrated real estate brokerage service company offering residential real estate brokerage, mortgage, title insurance, and SaaS services. We continue to enhance our underlying proprietary technology in addition to expanding our SaaS offerings. And in 2022, we’ll continue to focus on strengthening our infrastructure and business integration as we seek to expand our footprint and our family of brands, both organically and via acquisitions. Our focus has been and will continue to be to execute our long-term vision of being among the top three residential real estate brands in the country. Now on our last call, we share that assuming we reach between 100,000 to 110,000 transactions per year. We believe that we can generate adjusted EBITDA exceeding $40 million. While we’re not prepared to provide a timeline for this transaction milestone, we do feel confident we can continue to maintain the strong agent and transaction growth we’ve demonstrated consistently for over a decade. As you can tell, we believe that Fathom is a great future and we’re incredibly excited and proud. With that, I will turn the call over Marco. Marco, it’s all yours.
Marco Fregenal: Thank you, Josh. I’ll start with a detail review of our fourth quarter results and we’ll finish with an updated increase in guidance. Fourth quarter revenues grew 79% year-over-year to $95.5 million compared with $53.4 million for last year’s fourth quarter. The increase resulted from growth in real estate transactions to average revenue per real estate transactions and revenue contributions from our newly acquired businesses. GAAP net loss for the quarter was $3.6 million or a loss of $0.24 per share compared with a loss of $1.3 million or a loss of $0.09 per share for the 2020 fourth quarter. The year-over-year changing GAAP net loss resulted principally from investments in future growth, operational and overhead costs related to acquired companies, incremental costs due to transition into being a public company into increases in non cash stock compensation and expense to non cash amortization of acquired intangible assets. Adjusted EBITDA loss, a non-GAAP measure was $2 million versus an adjusted EBITDA loss of 850,000 for the fourth quarter of 2020. Our real estate segment continues to be adjusted EBITDA positive. In the 2021 fourth quarter, G&A increased Fathom in an absolute basis as well as a percentage of revenue. G&A was $9.1 million in Q4 or 9.5% of revenue compared with $3.6 million or 6.8% of revenue for the same period a year ago. The increase in G&A is primarily attributed to recently completed acquisitions and to increases in non cash stock compensation expenses. It is anticipated that G&A expense will increase to an absolute dollar basis going forward driven by acquisition, cost related to scaling generating in integrating the company’s business lines. G&A as a percentage of revenue is expected to decline over the long term as revenue increases. Expenses related to marketing activities were 524,000 versus 383,000 for last year’s fourth quarter, mostly driven by an increase in marketing activities related to new market openings. Now spent some time reviewing our business units results. Our real estate division continued to perform extremely well. We finished the quarter with 8,100 agents, a 48% increase from the same period last year. We close almost 10,800 real estate transactions for the quarter, a 44% increase from last year’s fourth quarter., Adjusted EBITDA in a real estate division was 126,000 building on the adjusted EBITDA profit we have generated since Q2 of 2021. Our mortgage business generated revenues of 2.7 million in 2021 fourth quarter, slightly higher than what we had generated in Q3. The adjusted EBITDA loss in the business was approximately 154,000 slightly higher than Q3 of 2021. Moving to our technology segment revenues in 2021 fourth quarter totaled $743,000, which represents an increase of 9.4% over Q3 of 2021. Adjusted EBITDA for the quarter was a loss of 225,000. Our insurance and title business is also continue to grow with combined revenues just shy of $2.5 million per the quarter, slightly higher than Q3 of 2021. Our adjusted EBITDA profit for these was 54,000 compared to 13,000 in Q3 of 2021. As I mentioned last quarter, we do plan to provide a separate breakout for our title business starting Q1 of 2022. Even with the normal seasonal industry downturn in the winter months, our fourth quarter results were excellent and we remain very excited for the future. We extended – we ended the year with strong cash position of $37.8 million, which give us plenty of runaway in which to execute our strategy. Now let’s discuss the attach rate. For both Encompass Lending and Verus Title we rolled out several markets in the late summer of 2021. After six short months, we are seeing attach rates in the range of 5% to 6%. We look at the continued increase in file starts from Fathom Agents for both Verus and Encompass for Q1 2022. And we believe that we’ll exceed the 10% attach rates within 12 months to 18 months of Verus and Encompass opening any individual market. I’ll finish with our guidance for the first quarter of 2022 as well our increased guidance for the full year. We’re updating this guidance based on the positive trends. We continue to see Fathom’s business. For the first quarter 2022, we expect revenues in the range of $77 million to $78 million and adjusted EBITDA loss in the range of $3.2 million to $3.3 million. For the full year 2022, we now expect revenues in the range of $425 million to $435 million and adjusted EBITDA in the range of a loss of 500,000 to a profit of 500,000. As a reminder, guidance is forward looking, which as Roger noted in the beginning of the call is subject to certain risks and uncertainties. Now, before I turn the call back to Josh, I would like to say how proud I am of our team and what we have accomplished in 2021. I do believe that when we look back at 2021, we’ll see that this past year was a significant year in Fathom’s history. Besides expanding our revenue streams, we have built this foundation to reach our goal for positive adjusted EBITDA and continue significant growth in the years ahead. I believe there our team’s vision and passion will allow us to continue to revolutionize the residential real estate industry. Now I’ll give the mic back to Josh, so we can take your questions.
Josh Harley: Thank you, Marco. We believe Fathom has a clear, visible and long runway with tremendous growth perspectives – prospects. We, no matter what the market holds, we believe that that our model is positioned to win. We’ve been working hard to deliver on our promise to grow Fathom in an accelerated yet sustainable fashion for the long term. So thank you again for your trust and being part of our Fathom family. So operator we’re now ready to open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question will come from Darren Aftahi with Roth Capital Partners. Please go ahead.
Darren Aftahi: Hey guys. Good afternoon and thank for taking my questions. Few if I may. First, can you give us a general sense on ancillary services? How much of that came from Fathom agents versus non-Fathom agents?
Josh Harley: Hey Darren, great question. It varies from business to business. In our title business is about 50% coming from Fathom, mortgage business about one third coming from Fathom and same on the insurance. So the remember Verus Title we purchased over a year ago, right? So that company’s more advanced in the attach rate. So that’s why it’s about 50%. The other two companies are about one third coming from Fathom. We think that over time we will exceed that 50% mark.
Marco Fregenal: By the way, I’d like to add some more color to that. And that is we don’t necessarily want Fathom to ever represent a 100% of the business. I mean, to us, we want Fathom to always represent 50% to 60% or so of the business. That means that we’re getting not just Fathom business, but business outside of Fathom business from other real estate brokerages, which is why we didn’t name it, Fathom Lending or Fathom Title or Fathom, whatever. We want to make sure that we can service other real estate agents across other companies. The more we provide great service, the more revenue we can generate outside of just the attach rate we can capture.
Darren Aftahi: Great. Thanks for that. On the agents added outside of M&A can you just speak to how they skew, whether that’s from traditional brick and mortar or online or more PropTech competitors that you guys have?
Josh Harley: Yeah, sure. So what we’re typically see is that, most of the agents that join our company are coming from more of the big name brand come companies, without putting names out there, we typically see, a lot of the larger publicly traded with the traditional brick – the traditional brick and mortar and traditional splits. So very large percentage from there, we get a lot of agents also from some of the more virtual companies as well. And then it’s really the mom and pops that kind of come secondary. So we tend to attract a lot of the companies from some of the biggest brands. When you think about PropTech, you think about companies, that are know, mostly not just online, but generating leads for their agents. We don’t get a whole lot of those agents. We do get those agents and I’ll actually name that Redfin for example, would be a great example of that kind of PropTech, great organization. We don’t get a lot of their agents. They do a great job at feeding their agents with leads. We do get some of their agents, but that type of company, most companies don’t get a lot from. But all the rest that have the traditional split models that typically where most of ranges come from. And again, mostly the larger brands than the small mom and pops.
Darren Aftahi: Great. And then just last one for me. Marco, maybe you could talk on gross margins. So into quarter, what was the gross margin on the – excuse me, real estate business versus the other components.
Marco Fregenal: Sure. They’re in the real estate business about 4%, keep in mind as you know that because of the way our cap works and we have still significant percentage of our agents there January to December and this was probably the last year that this is going to happen. If you look at the margins from Q1 all the way to Q4, they decrease, right? Because we have more agents there and the $99 per transaction, right. We probably – this is probably the last year that you're going to see a decrease, I think next year, I'm sorry, last year, 2022. I think we're going to see more of even EBIT as a larger percentage of our agents have cap used throughout the year. So they're not going to all be finishing on December 31. So on the ancillary services, we've probably seen margins of 75% to 80%.
Darren Aftahi: Great. Thank you. Congrats.
Josh Harley: Thank you.
Operator: Our next question will come from Tom White with D.A. Davidson. Please go ahead.
Tom White: Great. Thanks guys. And nice end to the year. A couple, if I could maybe just appreciate the color you guys gave on kind of the current attach rates for Encompass and Verus and kind of the target. Can you maybe just give a little bit more color on like how specifically you can improve attach rates? Is it certain best practices when dealing with agents? Is it sort of financial incentives? Like how do you get from kind of five to six to 10 plus?
Josh Harley: Sure. It's actually all of the above. Part of it, let me start with, for example, on the mortgage side. A lot of our competitors, they tend to go, the joint venture route. First of all, which means you don't get to control the quality and to the agents that's important. On top of that, a lot of them, not all of them, but a lot of them go the route of call center. And so when you've got a call center, you don't necessarily have a go-to person. So what we try to do is we we'll actually go to our agents in each market and say, hey, we're getting ready to launch mortgage in this market. Who's your favorite loan officer? Who do you like to work with? Who provides great service? So now we already know there is attach rate coming into that. And then we'll go to those loan officers say, hey, we'd like to hire you. We'd love to bring into the Fathom family a higher Encompass. And so by doing that, number one, you are – you automatically have an attach rate coming in because they already have business from a few Fathom agents. On top of that, you've got that quality of service. So as other Fathom agents use them, and it's not a call center. As they use them that they've got great quality of service, that's who they want to refer their clients to. Because if you refer your client to someone that provides really poor service, it doesn't just hurt the deal. You'd think that who cares the deals over anyways, but you really think about ongoing referral business. So that the better you service your client, the better the people you recommend serve your client. The more likely that client is to refer more business to you in the future. And so those relationships having local people, local relationships matter. The other part, the reason – the other reason that local relationships matter because you tend to want to send business to people you like. And so if you guys are out there having grabbing coffee together, grabbing drinks for happy hours together, building a friendship, you're going to be much more likely to want to see that person, that person's business Excel. So that's another piece of it. So those, I think play an important role. Another important role, the fact that we do incentivize agents, through while we can't directly incentivize them to send business over, we do incentivize them by making them shareholders. Now we don't give them a huge number per transaction and it is what it is, but what happens, you start to shift the mindset for the agents from just an agent to an actual shareholder, stakeholder of the company, and they want to see the company succeed, right? It's their company too. And so, hopefully that will incentivize them to continue sending business over. There's other ways too, the leads that we generate, the one that leads that we generate and give to our agents, we've got those leads. I hate to use and use that term, but these home buyers, for example that we're working with long before the agents even receive that lead. And so we're nurturing that home buyer, the potential home buyer finding out if they're prequalified yet, do they have insurance getting them prequalified about the same time or sending them over to the agent to start looking for homes because they shouldn't be looking for homes if they're not already prequalified. So the lead that we generate for the agents, we're not beholding and hoping and praying the agents send our mortgage company that lead to [indiscernible] we've got greater control over where that lead goes to even before the agents get their hands on it. So that helps improve the attach rate as well. But it's a – there is no one single approach. It's a very holistic. We look at every single thing. If we can take each category and improve this category by 2% and that category by 8%, this one by 6%, overall it dramatically improves our attach rate across the board.
Tom White: That's super helpful. Maybe just a follow up from Marco on the guidance. So the calendar 2022 revenue outlook was raised is that just kind of starting the year, maybe with more agents because you kind of outperformed maybe on agent attraction here the last few months. Is it because, some of the new acquisitions, just any color you can give on kind of the moving pieces behind the guidance increase?
Marco Fregenal: Yes. I think it's several things. I think one is that our recruiting as we've been looking getting some visibility into Q1. We feel very good. I think part of is acquisitions as well. And I think part of it is the – as we look at files starts. We have had strong file starts in Q1. So I think when we look at all three key elements of that could have a positive effect in our revenue. They're all looking in upwards now. There's always the risk of the market tightening and as interest rates rise. So we just took a look at all the positive trends we're seeing versus the potential of slow down. And we still feel very confident about increasing our guidance for the year. But it's based on all those key factors.
Tom White: Okay. That's great. One last one for me, and then maybe we'll jump back in the queue. Josh, thank you for kind of walking through the reasons why your business is going to be kind of more resilient if transaction volume, growth slows or declines, the one thing you didn't kind of touch, I guess, maybe on what it maybe means for like your M&A strategy, like curious whether, that's an environment where there's going to be a lot of interesting targets for you guys, or maybe you'd be less inclined to be inquisitive, just any color there would be helpful?
Josh Harley: Yeah. You actually, you raised a fantastic point. I think right now, even before during this last quarter, last several quarters, we've had an increase in companies reaching out to us saying, hey, love the Fathom story. I know you're going to be moving to my – into my market. I don’t want to compete with you, instead like to work with you and help grow the Fathom brand, would you consider an acquisition. That story happens over and over and over again. Mark, like I’d say, you've got to kiss a lot of frogs before you find that prince. And so we talk to a lot of people for the – few that we actually end up acquiring. One of the things that we look at those we want to make sure we've got, talking to companies and going, in other words not wasting our time. If the company doesn't have great leadership, have some kind of growth trajectory, have a similar model that we have and then could also be immediately accretive to our business. So with that point and to your point, as a lot of brokerages struggle to generate or I guess attract more agents, generate enough sales to close, to make enough revenue, to make enough profit to pay their bills. I think we're going to have an increase of those companies calling us. I didn't bring that up because to me that's just a, would be, could be. We do believe that's going to happen. That's potential. But we're not ready to put our stamp on say that is going to happen, because we haven't seen that increase yet. Whereas we have a very strong belief that, our model is very attractive in downturns because I started in this industry during downturn, I started Fathom during the last housing recession a big part of why we had such amazing early success was because a lot of agents were seeking opportunities to recoup the losses that they had coming out of 2007 and 2008, and 2009. So that's why we feel so confident that we'll be able to see the same thing happen. So hopefully that answers that question.
Tom White: Yep. Appreciate it. Thanks guys.
Operator: [Operator Instructions] Our next question will come from [indiscernible] with Cole Capital. Please go ahead.
Unidentified Analyst: Good afternoon, gentlemen. Thank you for doing the call and best of luck here in 2022, just kind of a quick four part question. You acquired a number of broker – real estate brokerage firms here later in the year. Could you just kind of quantify the revenue and gross margin dollars you believe they will add to the business in the first quarter? And then a second part is, as you mentioned, you raised prices for your agents for starting in January, approximately what's the revenue and gross margin dollar lift you'll be getting from that in the first quarter?
Marco Fregenal: Yeah, we have not – we have not got into details yet in terms of what they list for the increasing transaction price. Part of it, because we wanted to see, what would be, if there would be any negative effect to it and we haven't seen any. So I think when we announced our Q1 results, we'll update our guidance for Q2 and for the full-year based on what we see the positive effect that we'll see from the increase in the transaction fees. Keep in mind also that part of the increase in transaction fees are also related to inflation and increase in expenses, right? Inflation is affecting all companies and all companies have to increase payroll to be able to not only attract and keep talent. So part of that is, it goes towards that. On the acquisition front, we just acquired iPro in February. It's a little too worldly to be able to tell what the impact is going to be. Every time you do an acquisition, there's always some uncertainty on the acquisition as we do – as we move agents over. And so again, when we announce Q2 – Q1 results we'll be able to update our guidance for the full year and certainly for Q2 and be able to give everyone a greater visibility and very accurate numbers in terms of the impact for Q2 and for the full year. This is why partly, we feel confident about the increase in guidance already for the full year that we just gave in part is because of some of this positive trends we've seen, but I think we'll be able it to give much greater visibility once we finish Q1 and beginning of Q2. And then when we report Q1 in a few weeks.
Unidentified Analyst: Okay. And then just one follow-on, for 2022, to what degree have you improved or changed some of your hiring practices for new agents? Obviously you did a nice job in 2021, but I'm just wondering what sort of additional innovations you're doing in 2022 to allow you possibly to hire more agents than last year, and maybe even hire them at a lower cost?
Josh Harley: Sure. Yeah. I think it's a fantastic question. So first of all, a couple of things we've done, not necessarily hiring practices, but what we've done to continue to increase our hiring is number one, we've even proved our agent referral model. So that way, when agents refer other agents they receive greater value for those referrals because we want, right now we've always had really strong agent referrals, but we wanted to take advantage and really grow that, because there's no greater referrals to your business especially to our business than another agent referring an agent to our business. And so taking, the agents we already have, providing great service is important, providing great value is important. And then on top of that, incentivizing them and essentially turning your 8,000 agents into a recruiting force, a group of evangelists who love the company and want to share the company. So I think part of it is making sure that, we provide great value to the agents to be able to grow and accelerate our growth rate from internal agent referrals. We continue to invest in hire more salespeople, essentially recruiters, on our recruiting team to start bolstering that recruiting department and doing a better job at training them to improve the conversion ratio as well for the recruiting team. I know that's not exactly what you asked. But I want to start there because one is, not just how do you improve the hiring process, but how do you also accelerate the hiring? So that's a big part of it. And then once agents come in, we've done a great job. We've got a fantastic internal staff that focus on serving agents. And so we've got great support staff, a great accounting team, people that are just dedicated to answering questions. Whenever a new agent joins, we get them onboarded but then we all also have local managers who follow up with them make sure they have everything they need. We also have someone in our customer service team that reaches out to them right away. Hey, is there anything you need can we introduce you to this program, to that program? Have you set this up yet? Can I help you get that set up? And then several weeks down the road, we’ll have a follow-up call again to say, Hey, it's been a couple weeks now, are you getting settled? Is there anything you're missing? So we want to make sure that not only do a better job at bringing more agents in, but once they're in doing a much better job, making sure that they feel settled, they feel good because we know that those good feelings turn into going back kind of full circle, turning into evangelists and telling other people about the organization. And then last thing of course is making sure that we continue to provide better technology, continue to enhance that technology, provide more services. As you know, much, you probably saw we rolled out our Hispanic division. And so part of that is making sure that we're developing tools in Spanish, and marketing the resources in Spanish so that our agents can better serve the Hispanic community. We also are getting ready to launch our veterans division, providing more tools and resources for our agents who are veterans to be able to better service their clients who are veterans. So we're doing a lot to help empower our agents. In the course we're also developing more training programs and platforms. We launched Fathom Academy, so that way they've got more access to training, so continue to improve all aspects of our business, to make sure that the agent has a better and better and better experience being with Fathom.
Unidentified Analyst: Great. Thank you. And best of luck. Thanks again.
Josh Harley: Thank you
Operator: [Operator Instructions] As there are no more questions, this concludes your question-and-answer session. I would like to turn the conference back over to Josh Harley for any closing remarks.
Josh Harley: Thank you operator. Of course, thank you to all of you for joining our call and for all the questions we had. We do appreciate your continued support. We are extremely proud of all that we've accomplished and will continue to work diligently toward achieving our objective of adding greater value to our company, to the benefit of all of our stakeholders. So with that have a wonderful week. And thank you again.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.